Operator: Good morning. Thank you for joining us for this conference call for the OFG Bancorp. Our speakers are José Rafael Fernández, President, Chief Executive Officer and Vice Chairman; and Ganesh Kumar, Executive Vice President and Chief Financial Officer. There is a presentation that accompanies today’s remarks. It can be found on the Investor Relations website, under the webcast presentations and other files page.
Unidentified Company Speaker: Please note this call may feature certain forward-looking statements about management’s goals, plans and expectations, which are subject to various risks and uncertainties outlined in the Risk Factors section of OFG’s Securities and Exchange Commission filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments which occur afterwards. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Mr. Fernández.
José Rafael Fernández - President, Chief Executive Officer and Vice Chairman: Thank you and good morning to all. I will cover the general overview and Ganesh will discuss key aspects of our financials. So, if you please turn to Slide 3, this is the sixth consecutive quarter since the BBVA Puerto Rico acquisition that we have produced solid core performance which we are pleased to note has been in line with our expectations. While as everybody knows the Puerto Rico economy is in transition, we at OFG have been dealing with this situation for sometime now and are confident of our ability to continue to sustain and enhance our business model. Now, let me review key highlights for the quarter. We earned $0.38 per share diluted. This compares well to the preceding and year ago quarters taking into consideration that both contain substantial and beneficial non-recurring items. Net interest margin continued strong. Puerto Rico government-related balances, excluding municipalities, declined close to 16%. This is on top of the 14% reduction in the fourth quarter. All our government exposures have either collateralized or defined income sources for their repayment. Compared to the first quarter, net charges and total delinquencies were higher, but within the ranges we have seen over the last 12 months. Cost of deposits continued to decline as demand and savings account balances increased as a proportion of total deposits and we continued to purposely reduce the level of high price retail time deposits. Tangible book value increased 4.6% sequentially to $14.71. Book value per share increased 3.9% to 16.87. Average common shares declined 0.7% due to share repurchases late in the first quarter. As a result, if you please turn to Slide 4, our performance metrics for the quarter were in line with or above our target ranges. Return on average assets was 1.10% versus our target of 1.25%. Return on average tangible common equity came in at 10.96% versus our 12% targets. Our efficiency ratio came in at a solid 47.89% better than our low 50s target and it is also significantly improved over the more than 52% level of a year ago. And net interest margin came in at 6.10%. That compares to our target of approximately 5% and 5.90% in the first quarter. Now, I will turn the call over to Ganesh.
Ganesh Kumar - Executive Vice President and Chief Financial Officer: Thank you, José and a very good morning to everyone on the call. Let me start with Slide 5 and walk you through the second quarter of 2014. Our operational outlook remains intact. We are focused on managing our businesses in a prudent manner while carefully controlling the cost and credit exposures in order to grow core profits. At the same time, we have continued – we are continuing our focus on building our franchise and the brand to differentiate Oriental in the local market space. Specific to loan generation, we were able to close more than $221 million this quarter. Auto production of $90 million was down a little as demand softened from the first quarter. Commercial production of $45 million was up 14%. This reflects our first quarter buildup of our mid-market C&I pipeline. And in our residential mortgage basis, production of $52 million was up 2% as we maintain originations in a challenging regulatory environment. This helped to offset lower pricing in the secondary market. As a result revenues were approximately levelled with the first quarter. As you know, we sell most of our production to the GSEs. Consumer loan production had yet another strong quarter. This was up 24% after an 18% increase in the first quarter. This reflects our new marketing approach and automated streamline origination processes. At close to $10 million banking services revenue continued at a high level in part due to our commercial and institutional transaction business services. In terms of fee business, broker dealer revenues were up 7%. This was due to increased annually sales more than offsetting softer client trading activities levels. As we mentioned last quarter, we anticipated trading activity would be lower because of what happened to investor balances in general in wake of the sell off in Puerto Rico bonds recently. Please turn to Slide 6. We would like to point out two significant transitions in our business. This is – the first is that what is happening with our loan portfolio. This slide shows how we have been increasing originated loan volumes offsetting a good portion of outflows or pay downs from the acquired portfolios. We believe this demonstrates the success of our integration efforts and our combined loan generation capabilities. Credit metrics have been embedded in the carrying amount of the acquired loans, but they are reported separately as the new loans are originated. Please turn to Slide 7. The other transitions which we mentioned last quarter is with our core deposit portfolio. Due to innovative products and high customer service levels, we have increased our proportion of DDA and savings balance. This proportion rose to 64% of the total deposits in the second quarter of 2014 from 63% last quarter and 57% in the year ago quarter. This increase when combined with corresponding reduction in CDs, high cost retail and as well as broker has resulted in a 20 basis point decline year-over-year in the cost of deposits. On Slide 8, we talk about the income statement. With no non-recurring items of note in the second quarter and only in the first quarter, we are comparing our income statement highlights quarter-to-quarter on a GAAP basis. Non-covered loan income increased 3.3% to $88 million. Growth reflects certain acquired loans rolling over to the originated loan category and higher cost recoveries from the acquired loans due to our work out activities. Covered loan income rose 6.4% to $25 million. This also reflects continued higher cost recoveries due to successful work out efforts. Investment securities income declined $1.5 million to $13 million. This was primarily due to lower balances, the result of prepayments and previously reported first quarter sale of securities and repayment of a PR government-related security. Total provision for loan and lease losses increased $3.1 million to $14.8 million. This primarily reflects higher originated loan balances and increase in charge-off levels. The provision for loan losses excluding acquired was higher by $1.8 million quarter-over-quarter. Besides the volume factor the increase was primarily due to replenishing the net charge-offs and its affect on the allowance estimation. In addition, it has the impact of reclassification of the certain loans government related loans in accordance with our credit risk management polices and practices. We already talked about non-interest income line items. Let me skip down a few lines. Non-cash FDIC asset amortization continued as expected at $18.4 million. Non-interest expenses declined $2.5 million to $59.8 million from $61.4 million a quarter ago. This primary reflects reaching deduction limits for payroll benefits and reduced costs associated with the foreclosed real estate. Lastly they were no sales of securities in the second quarter. This is as opposed to the first quarter which had a gain of $4.4 million. Please turn to Slide 9. With respect to the balance sheet evolution average interest earning assets declined to $7 billion from $7.1 billion during the first quarter. This reflects a reduction of $120 million in Puerto Rico government-related debt and securities and previously reported first quarter 2014 sale of MBS and repayment of PR government-related security. Total stock holders’ equity increased 3.2% to $925.2 million. The improvement was primarily due to increases in retained earnings and OCI. On Slide 10, we present the updated Puerto Rico government-related balances. As we have done in the past quarters we are including an updated disclosure of our government-related holdings. These numbers are contractual balances excluding a gross valuation allowance. In line with what we discussed in our earlier conference calls, you can see we continued to manage this exposure prudently. The credit exposure declined $85 million this quarter. The main drivers for the decrease was the contractual maturity at par of $100 million of Central Government TRANs debt, $20 million in principal amount for our privately paid securities. As it stands now 33% of our loan and security balances mature in 12 months or less. With regard to Oriental as part of a four bank syndicate providing $550 million revolving line of credit to Puerto Rico Electric Power Authority to finance the repurchase – the purchase of fuel for day to day power generation activity. The revolving line of credit which expires on August 14, 2014 is currently accruing and all loan covenants are substantially being complied with. The bank syndicate has a short term agreement in place to facilitate dialogue with PREPA and the Government Development Bank of Puerto Rico regarding the future of the revolving line of credit. This dialogue is actively ongoing. Because of the ongoing discussions, we are limited as to further comment. Any developments would be promptly disclosed and included in our regulatory filings as appropriate. On Slide 11, we present to the credit metrics which are detailed on our credit quality tables in Table 6.1 and 6.2 of our financial supplement. Overall credit metrics net charge- offs and non-performing loans are within the range of 12 months. The total delinquency rate rose to 8.61% from 8.1% in the first quarter. The net charge-off rate went to 96 basis points from 86 basis points. And the non-performing rate rose slightly to 3.39% from 3.25%. These metrics are related to loan portfolio that was not acquired and consequently under purchase accounting. We are continuing to refine the effectiveness of underwriting and recovery processes, but we believe that this impact or the increase in credit quality metrics can only be managed by adhering to a risk adjusted pricing discipline. Please turn to Slide 12 for an update – for a mid-year update for 2014. We thought it would be good in this call to take a look at where you are midway through the 2014 plan. Interest earning assets have declined $331 million from the end of the last year. This has been primarily due to reduction in Puerto Rico government loans and securities in the covered portfolio and other routine outflows. This demonstrates a high degree of structural flexibility, while the balance sheet has shrunk a little we have managed a high level of core earnings. Looking at the non-interest fee revenues despite the market pressure they are holding up and we are continuing to manage the non-interest expenses very aggressively. And due to Puerto Rico’s current economic conditions credit remains an area of focus for us. The bottom line is we reported diluted EPS to-date – year-to-date $0.80, in line with our expectations. And we have continued to grow capital and book value. That concludes my part of the presentation. Let me turn it over for Jose for wrap up.
José Rafael Fernández - President, Chief Executive Officer and Vice Chairman: Thank you, Ganesh. And please turn to Side 13. We wanted to close with our general outlook regarding Puerto Rico. Recent actions by the rating agencies have put additional fiscal pressure on the government and its agencies. GDB, the Government Development Bank has stated its government intent that it is government intent to use their recently inactive Puerto Rico Public Corporation Debt Enforcement and Recovery act as a last resource in an emergency. And GDB has also stated that the government has a strong preference for consensual negotiated solutions. Based on these recent statements, we believe that the Puerto Rico government will constructively approach the situation in a matter so as to avoid further strain on the banking sector. As for the local banking industry, overall we continue to see intense price-based competition for loan originations. And consumer credit, in particular, we are beginning to see some weakening of the credit, which can only be overcome by better pricing. Looking at OFG, as always we will be steadfast in our pricing discipline and our business approach, we will be rationalizing our risk management and we will continue to rely on our excellent execution capabilities. Regarding capital which remains substantial, we continue to have a wide degree of flexibility. We continue to believe we are uniquely positioned to exploit further long-term opportunities for growth. That ends our formal presentation. Operator, please open up the call to questions.
Operator: (Operator Instructions) Your first question comes from the line of Brian Klock of Keefe, Bruyette & Woods.
Brian Klock - Keefe, Bruyette & Woods: Good morning, gentlemen.
José Rafael Fernández: Good morning, Brian.
Brian Klock - Keefe, Bruyette & Woods: I guess I just have two quick questions. I mean, first on the net interest margin continued to be very strong and actually it came in quite higher than I thought. And for my I guess interpretation, it doesn’t look like is that anything to do what accretable yield look like was actually core non-acquired loan yields actually were up 8 basis points sequentially. You brought the cost of funding down. So, I guess maybe you can – maybe highlight us or update us on what you see for the margin outlook going forward? And I guess can you remind us to second part of the question on, is it December into the fourth quarter when you would revaluate again all the purchase accounting marks and maybe there would be adjustments on accretable yield?
José Rafael Fernández: Yes, okay. Let me just give an overall and I will pass it Ganesh, but certainly we are happy with our stronger than expected net interest margin and has a lot to do with our focus on bringing down cost of funds and working with our loan portfolios and managing the environment in a very – from a pricing perspective on a risk-adjusted basis. So, that’s part of what’s going on as you pointed out, but I would like to ask Ganesh to give you anymore color to the NIM.
Brian Klock - Keefe, Bruyette & Woods: Okay.
Ganesh Kumar: Hi, Brian. Good morning. I think you are right, the increase in NIM quarter-over-quarter as it builds in two different effects, right. So, one is what we have been trying to do with the bright – the yield levels and as well as the cost of deposit. On table five if you see in our earnings supplement, the lines which says non-acquired loans and as well as the deposit pricing, those are the ongoing, recurring work that we have done to increase the margin, whereas the acquired loans, that’s where there will be effect of – if as we continue to workout our acquired loans, we would continue to have some additional cash flow other than what we have expected. So, if you ask me where the NIM would fall the next quarter or this should have been this quarter without those workout efforts. It would have been close to the last quarter. And if you remove any recovery at all, it should be closer to 5.6 around that range. So, I would all I can say at this point in time is we expect the NIM to be around 5.5 to 5.6 in the second half of the year, but as usual the cost recoveries would still be there.
Brian Klock - Keefe, Bruyette & Woods: Also can I show I guess when you say cost recoveries, so included in – so on that page, table 5, so on the acquired loans accounted under both 310, 330 and 320, so included in net interest income of 39.7 and 5.3 how much was I guess the cost recovery portion of that or the accelerating piece?
Ganesh Kumar: Totally, I think between those two lines they were about 1.6, 1.7 in that line and as well as if you look at the covered loans, there is another 1.5, 1.6.
Brian Klock - Keefe, Bruyette & Woods: Okay, so, all-in about 3.1 million?
Ganesh Kumar: Yes.
Brian Klock - Keefe, Bruyette & Woods: Okay. And then just a follow-up question on the credit trends, I know you have been talking about the focus you guys have on the consumer. We did see some NPA formations increase in this quarter on the consumer side, consumer and in auto. So maybe you can kind of help us I guess give us update I guess an update I guess on what you are seeing there and I mean I guess guidance as far as the provision outlook versus this quarter end. And does that – do we see that an upper trend in that provision level then.
José Rafael Fernández: Yes. Clearly, we are starting to see some strain on the consumers and that’s primarily due to the economy kind of continuing to struggle. So, we see that. We obviously see us a provisioning higher for that portion, but remember that these are higher yielding type of loans and so you just can’t – we need to separate the consumer portfolios from the commercial portfolio simply because of the risk profile that each one has. So going back to consumer, we are seeing some string on the consumers. We are starting to see a pickup on inflows and delinquencies and charge-offs. And we are certainly looking into pricing to adjust for that pickup as we have done in the past.
Brian Klock - Keefe, Bruyette & Woods: Okay. So, it’s a fair point I guess there is definitely an increase of credit risk there, but you are getting paid for it on the yield type?
José Rafael Fernández: Correct, correct. And our main portfolio on the consumer side is the auto portfolio, which we continue to look into and adjust as we see a trends be evolving on the credit side.
Brian Klock - Keefe, Bruyette & Woods: Okay, thanks for your time guys. I will go back into queue.
José Rafael Fernández: Thank you, Brian.
Operator: Your next question comes from Emlen Harmon of Jefferies.
Emlen Harmon - Jefferies: Good morning guys.
José Rafael Fernández: Good morning Emlen.
Emlen Harmon - Jefferies: Quick question on capital, we saw a pretty meaningful jump in the other comprehensive income this quarter. I guess, one, I just be curious as to which part of the securities portfolio was generating that improvement? And then two, we did see government debt downgrade after the end of the quarter, just curious if that affects your AFS evaluation at all as well?
José Rafael Fernández: Most of the increase in the OCI comes from the MBS’ that we have Fannie’s and Freddie’s that we have on the portfolio. The downgrade on the government really did not have a meaningful effect on our investment portfolio, because we don’t have much – we have I think a total of $20 million or so in the investment portfolio regarding Puerto Rico securities and these are small bus, so it didn’t have that much of an effect. And those investments are really not necessarily affected directly by the downgrades.
Emlen Harmon - Jefferies: Got it. And then so the majority of that gains coming in the MDS portfolio kind of the 10-year gaining down to lower levels today, I mean, is that gain something that you guys would consider locking in?
José Rafael Fernández: It’s something that we always struggle with, Emlen. What do you do when you sell those yielding right now around 3%, because you have got a lower prepayment speed, so then you sell those activities on what you invest in. It’s a little bit of a give and take. So, in the past, we – as you saw in the first quarter we took some gains. We see there is an opportunity for us to sell, get the gains and reinvest those assets in a higher yielding situation we will consider it, but otherwise, it’s a tricky one, because you are taking again today that you are foregoing in the future in terms of interest income. So, it’s something that we discuss on a monthly basis when we meet (indiscernible).
Emlen Harmon - Jefferies: Got it. And then just a quick one, in terms of government exposure, the one area you guys are increasing exposure a little bit is the public corporation’s book, I am just kind of curious as to kind of which entities you are adding to there?
José Rafael Fernández: We were really not adding to any entities. These are lines of credit that it depends on how you compare quarter-to-quarter, how much they have drawn on those lines. So, that’s why you see an increase versus the first quarter, because in the second quarter, there were some draws that they had available to drawn and that’s the difference.
Ganesh Kumar: As they rotate which they continue to rotate, the balance would go down and up depending on the last day of the reporting and so on.
Emlen Harmon - Jefferies: Got it. Okay. Thanks for taking those. I appreciate it.
José Rafael Fernández: Just let me say as a reminder to everyone, our focus continues to reduce our exposure as we have said in the past.
Ganesh Kumar: And we have not made any new commitments in last three quarters.
Operator: Your next question comes from Brett Rabatin of Sterne Agee.
Brett Rabatin - Sterne Agee: Hi, good morning.
Ganesh Kumar: Hi, how you are going?
Brett Rabatin - Sterne Agee: Perfect. I wanted to ask on the loan portfolio just thinking about the commercial loan pipeline maybe some comments around just what you are seeing there. And then maybe just kind an outlook thinking about the loan portfolio on a net basis going forward, if you would consider to have modest shrinkage going forward as covered loan pay-offs continuing you support you start generating a solid amount of internal production?
José Rafael Fernández: With our focus going forward based on the pipeline that we have, we feel that it’s going to be around the same levels that we have had in this quarter, it may be slightly better. But really competition is fierce here. And in my – in our view pricing is too aggressive for the economic environment that we are operating in. So from our perspective we are going to be very rationale in this approach and that’s something that we will continue to do. Certainly there are some great clients that we are going after and there are opportunities for us to gain some of those relationships from some of our competitors and we will continue to pursue them. So in general I think we have continued to abide by the trends of reducing our loan portfolio 1% or 2% on a year basis given the environment we are operating in, especially in the commercial side which is very aggressive on the pricing side.
Brett Rabatin - Sterne Agee: And has that increased any in the past quarter or so in terms of the pricing relative to credit spreads?
José Rafael Fernández: I am sorry, can you repeat the question…
Ganesh Kumar: Pricing regarding the commercial loans, we have not seen that much of an increase primarily because as José referred competition is fierce over here. Though these don’t result to price based competition, there is pressure on pricing of those loans.
José Rafael Fernández: Too many banks looking after the same book.
Brett Rabatin - Sterne Agee: Okay. And then I guess the other thing I was just curious about was you are talking about the delinquency trends and obviously getting pretty solid yields on the loans, what – is there any plan to do anything from a restructuring perspective you have some potentially maybe yours on a larger scale or any thoughts on kind of changing the delinquency pattern by giving some concessions?
José Rafael Fernández: We do that actively on the mortgage portfolio and we work on that on a…
Ganesh Kumar: Loss mitigation…
José Rafael Fernández: Mitigation program that we have. And when you look at our numbers especially on the mortgage side, you are seeing the whole picture, but you haven’t seen within the picture there are some G&A repurchases that we are mitigating and those are guaranteed. So we are just showing that as whole delinquency would have a different profile. So when you look on our specifically on the mortgage side, we will continued to work on loss mitigation strategies and trying to bring them into a current status after they perform for several months. So that’s part of something that we do ongoing and lead to do it more aggressively.
Brett Rabatin - Sterne Agee: Okay, great. Thanks for all the color.
Ganesh Kumar: You’re welcome.
Operator: (Operator Instructions) Your next question comes from Taylor Brodarick of Guggenheim Securities.
Taylor Brodarick – Guggenheim Securities: Great, thanks. I think everybody else has hit on most of my questions, but I just wanted clarity on the public corporation exposure, how much of that is that (PREPA LLC) participation and what’s the rest of it, is it in some of the other, is it in (indiscernible) could give any more sense on…
José Rafael Fernández: Yes, the PREPA line is $200 million and the other – other line of credit that we have with public corporations is PREPA which is the water authority, I mean it’s $100 million bond anticipation note that we have that matures on March of 2015 if I am not mistaken those are the two main agencies that we have.
Taylor Brodarick – Guggenheim Securities: Okay. You guys hit on everything else for me. So thanks very much. I appreciate it.
Ganesh Kumar: You’re welcome.
Operator: Your next question comes from (indiscernible) of Sandler O’Neill.
Unidentified Analyst: Good morning.
José Rafael Fernández: Good morning.
Unidentified Analyst: I didn’t quite catch what you said earlier about the public corporation debt that’s going to be maturing in August, I didn’t quite catch exactly what you said there?
Ganesh Kumar: The – I think the same question that Taylor just asked the public corporation’s debt that’s due to mature in August is PREPA and it’s on our presentation, it’s on Page 20 – sorry page – Slide 10. We show that less than six months that we have 200 in that bucket.
Unidentified Analyst: Right. And did you say that’s in the process of renewed or renegotiated?
Ganesh Kumar: We basically in my script I read that the bank syndicate has a short-term agreement in place to facilitate the dialogue with PREPA and because of the ongoing discussions at this point in time we are limited to further comment on that one.
Unidentified Analyst: Okay. And the comment that you made earlier actually you have made several times that most of your government exposure is that either by collateral specific..,?
Ganesh Kumar: Correct.
Unidentified Analyst: Revenue does that apply to PREPA well?
Ganesh Kumar: Exactly.
José Rafael Fernández: Correct.
Ganesh Kumar: PREPA’s line is purely as José Rafael just pointed out the balance has increased because it’s a rotating line. And it is used for purchase of oil and gas for their power generations.
Unidentified Analyst: Okay.
José Rafael Fernández: So, we have gross revenues that are assigned to – there are…
Ganesh Kumar: There identified, exactly. It is treated as the line that would get rotated as they have the cash flow.
Unidentified Analyst: Okay. Thank you very much.
José Rafael Fernández: You’re welcome.
Operator: At this time, there are no further questions. I will now turn the call back over to management for closing remarks.
José Rafael Fernández - President, Chief Executive Officer and Vice Chairman: Thank you, operator. Thank you all of our stakeholders who have listening, our depositors, our retail and business customers, our investors, our staff and ultimately the communities we serve. We will be participating at the KBW Community Bank conference in New York next Wednesday and also we will be participating at Deutsche Bank 2014 Bank Conference in Boston on August 6. So I look forward to meeting some of you guys there. And until next quarter, thank you for participating in this call. Have a great day.
Ganesh Kumar - Executive Vice President and Chief Financial Officer: Thank you, gentlemen.
Operator: Thank you for participating in today’s conference. This does conclude your call. You may now disconnect.